Operator: Good day, ladies and gentlemen. And welcome to the Comstock Mining’s 2015 Year-End Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thank you, Valerie, and good morning, everyone. It’s Corrado De Gasperis on the line, with Judd Merrill, our CFO, joining me live today. We have a number of positive updates for you. First of all, let me remind you that we may make some forward-looking statements on this call. Any statement relating to matters that are not historical facts may constitute forward-looking statements. The statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed by our company and the SEC and in this morning’s release, and all forward-looking statements made during this call are subject to those same and other risks that we cannot identify. We were successful last quarter in keeping the call to an hour including questions. I’m going to really try to do that again today. We did it by limiting callers to two questions. If you could please comply with that, we’d appreciate it. And if we don’t get to all the questions, we will mostly certainly follow-up after towards with anyone that gets caught up in the queue. If your questions don’t be in the queue, again, we will be available post call to do that. Also if you didn’t have a copy of today’s releases, there were two, one on the annual report and one on updates from intercepts in our underground drilling program. You’ll find them on our website at www.comstockmining.com under news/press-releases. In effort to be more concise, I’ve organized my comments into six areas that I think are most critical to assessing our value and our future value. So I’ll stick with that kind of an agenda. Number one is our operations and the tremendous progress on cost, grades and yields that we made over the past two years. Number two is liquidity and capital resources; since the balance sheet not only enable us to work through difficult times as we had in the last few years, but also capitalize on growth opportunities. Our Lucerne underground development, where we’re fully permitted and progressing exploration activities real-time, including the intercepts that we announced this morning. Our Dayton development, where we’ve done tremendous amount of work towards an economic mine plan and monetize, that update. Fifth, I’ll give some thoughts on our valuation and our financial position, which are strong. And sixth, talk about the major objectives and the outlooks that we have for 2016. So with that, I’ll turn to number one, our operations in 2015 and how it positions us going forward. Most dramatically, we significantly instructed and realigned the organization. That resulted this year in $10 million of cost reductions, when we compare this year full-year to last year full-year. Both of those reductions over $8 million came from the mining operations. And although some of those savings were due to lower volume, substantially all were permanent improvements with the tremendous amount of work effort on reduced land holding costs, lower fixed costs, primarily from labor; higher yields from the process operations; and some variable cost improvements. An example of some of the variable costs improvements, which was the minority of the total, would be fuel. Our fuel was down actually $1.5 million year-on-year, but $1 million of that reduction were just from lower fuel prices. Our gold yields are now exceeding 85%. That’s probably one of the most significant things that we are announcing this morning. It’s that our estimates, which three years ago started at 68%, just continually improved over the last few years inching up ultimately to a couple of quarters ago about 81%. But with some of the cycles getting mature and some of the metallurgical reconciliations being more precise, we are now looking to exceed 85% in terms of our gold yield and over 57% in terms of our silver yield, so that all translated to more gold, lower cost and a much lower resulting cost per unit. Our gross profit for just this quarter was the highest in two years despite lower volume, a $2.3 million contribution. That number actually benefits a bit artificially, because we increased the recovery rate this quarter from 85% to 81%. But if you look at the full year, the gross profit contribution was $7.6 million. That’s actually shown in the quarterly summary in the 10-K, but it reflects an overall average cost for producing that gold at $689 an ounce. And if you took the cash costs and included all the mining and support, it was less than $625 an ounce. So that was for the full year. The quarter was significantly below that, but the full year probably reflects a more accurate continuous estimate of what we were performing. And then if you include G&A in there, we were below $1000 at $998 cash cost per ounce. When you put all that together with a lower volume operation and a relatively smaller start-up, it’s a remarkable result and something it took about 18 months of hard work to truly achieve with the reductions that were secured in 2014 and now these additional ones in 2015. When you look to 2016, with full explorations and development objectives, we have structured the organization to operate at less than 20 people, and we have taken our fixed cost and transitioned many of them to variable cost. Part of that, is working with partners like American Mining & Tunneling when appropriate. Part of that is just doing more flexibly internally in our own organization. We haven’t cut the wrong corners; we haven’t cut the corners I would say at all in achieving that. In 2015 won the Nevada Mining Excellence in Reclamation award for concurrent reclamations. And that activity and combined with the road completion, will reduce our bonding requirements in 2016 by over $3.5 million. In summary, we’ve completed three years of production, amassed, rezoned and permitted one of the largest land positions in the economically booming Northern Nevada Reno-Tahoe industrial quadrant, and we simplified and lowered the cost of our capital structure while dramatically lowering our overall cost structure. On capital structure, let me move to number two, our liquidity in capital resources, since the balance sheet enables us to capitalize on opportunity as we go forward. For the year net cash used in operating activities was actually $3 million. We used $3 million. But that $3 million included a use of $2.9 million for the complete State Route road realignment, which is completed on time and under budget. It also included $3.3 million for underground drift development and exploration, both of these which I would consider critical investments for our land and our mining future. Excluding just those two items we generated well over $3 million in positive cash flow from operations and that kept getting stronger as our cost improvement kept getting realized. When we move to the actual investing activities for the year, we spent $5.1 million. $3.5 million of that was for strategic land purchases and above $2 million of that was for designing, permitting, and construction, constructing expansions to our heap leach pad. On that note, next week we expect final approval on a major water control permit expansion that will authorize all the leaching capacity that we can reasonably foresee for the next five-plus years. These investments were timely, they’re critical for our long term development, and we’ve gotten ahead of the curve in terms of permitting the activities that we’re looking forward to in the future. Our debt and capital lease obligations were $13.3 million, almost $10 million of that is in equipment-related financing with companies like Caterpillar, and $1.6 million of that was drawn on our $5 million revolving credit facility. We’ve limited our indebtedness to certain safe known counterparties, that was by a strategic intent. We’ve also enabled flexibility in terms of payments in terms with most all of our counterparties. And recently we agreed with Auramet to increase the credit facilities capacity up to $10 million and extend the maturities beyond 2017, well into 2018. Our cash position at year-end was $1.7 million. And our cash flow and our weekly cash management, I don’t think has ever been more predictable. During December and into January, we actually reduced our debt financing by another $1.5 million, just through sales of assets that were redundant equipments, some of that which was surface mining that we’ve come to an end with. And all of those sales were done at market, they were done above book value in every case, and in most cases they were done above what we wrote on the equipment. So we’re managing the transition very, very effectively. Our capital resources including - our capital resources will include the ongoing leaching that with the higher gold and silver yields that we are realizing should continue well into the second quarter. We’re predicting until May, but likely it will even go further than that. In summary, our balance sheet represents a great land position and permitted mining assets, all properly zoned with low and flexible cash costs and a good liquidity structure around that. The bottom line for us is that the balance sheet is strategic. And we want to keep it that way for the developments that we have in the future. So with point number three and four are the developments that we’ve been working on, let me start with three which is our Lucerne underground development. It’s clearly one of our top two targets, Dayton being thesecond for exploring and establishing reserve for our next phase of mine plan. We are targeting much higher grades, grades higher than a quarter of an ounce per ton and over 1.5 ounce plus per ton of silver of sufficient volume. So we can transition into our next phase of production. Lucerne represents an almost one-mile long quarter consisting of three main geological targets. The PQ, which in itself is over 600 foot long strike and a massive material that’s known for hosting higher grade minerals in our district. With Succor which is a relatively new target in terms of our discussing it, even though we did quite a bit of drilling from the surface on it earlier in 2015. But it has potentially 1200 foot strike, certainly from what we can see greater than a 1000 foot strike leaching 1200 feet, and known historically for high-grade production. In fact, the Succor produced on average 0.62 ounces per ton of gold recovered when it produced about 35,000 tons to 40,000 tons in the early 1900s. And then, of course, the Woodville Bonanza which we have talked about which is a larger strike than the PQ and with data suggesting the same kind of high-grade characteristics. I know our releases have been tactically oriented, but the plain English interpretation that I could give you is we’re simply looking to combine grades in ton from the PQ, Succor and Woodville for longer life higher-grade production prospects from Lucerne. Why Lucerne? Lucerne is fully permitted Lucerne is fully infrastructure. It’s just the question of defining those reserves and transitioning into production from those areas. This morning, we announced some outstanding intercepts from the Lucerne. I will just read a few of that here and explain what it means to us so far. Overall we planned eight Drill Bays. So now we have the results from the first four. In the first two, we got some really good grade intercepts, they were narrower. We released that about a week-and-a-half or two weeks ago, and grades such as 1.27 ounces per ton gold over five feet, 1.427 ounce of sliver over 10 feet. We had additional gold grade intercepts of 0.76 ounces per ton, 0.391 ounces per ton, 0.34 ounces per ton; and silver consistently ranging over an ounce-and-a-half per ton. I mean, really that told us that we were on the fringe of what we were hoping that we were on. Those widths are very narrow certainly for underground mining. They’re just indicators rather than substantive reserves for us. But then, as we started to get into Bay Two, the grade started to become wider. We were still on the border of the PQ, so not yet into the heart of the structure. But 20 feet of 0.345 ounces per ton, so the metric system process almost 12 grams per ton, silver at 1.14 ounces per ton, same 20 feet. That’s almost 40 grams per ton with tremendous intercepts all the way through, other heads of greater than a half an ounce per ton and in one case over seven ounces per ton of silver. That’s 243 grams. And we started getting very excited about how those sections were developing to the north and that only increased when we got the results from Drill Bays Three and Four. In Drill Bay Three, we started to see really high grades, 0.743 ounces per ton for 30 feet including about an ounce per ton of gold for 7.5, 13 total feet of about 2.2 ounces per ton of silver. I mean, tremendous. But then, we hit a significant 40 foot run of about 0.4 ounces per ton of gold and 1.635 ounces per ton of silver. So those intercepts started to really help us define how the structure was expanding to the north. It was consistent with our structural outlines in the data that we had before. But what it really all means is that we’re just starting to identify the grades of the width that we can begin putting into those contexts. And that context means, cross-sections, three-dimensional block designs, and ultimately, economic shelvestoward underground mining. We’re still ways from that, but we’re getting closer. From a visual perspective, Drill Bays Five and Six are looking great in terms of the material that we’re seeing. It’s the same and/or better than what we’ve seen so far. There is more continued risk of those kinds of ore samples. I don’t have the assays all back yet. But as soon as we get them back, as soon as we get them into context, we’ll be reporting that information over the next three to four weeks. I will talk more about Lucerne in the outlook in terms of when we run some of these things down towards the mine plan. Let me turn to Dayton very briefly, because last quarter we announced the completion. This is number four. Last quarter we announced the completion for about 30,000 feet of near surface drilling including significant near surface grades and thicknesses than we previously had expected or known and including another cords-partially [ph] mapped similar to Lucerne. We haven’t been sitting still with that. We’ve now updated our geologic model based on the previous drilling, and most certainly, increased the gold and silver reserve estimates. More importantly, we really define an economic shelf with grades averaging 0.05 ounces per ton of gold. And while those might sound a little boring compared to what we just discussed with the Lucerne, they’re actually great, literally almost double the grades that we’ve been mining in Lucerne from a surface perspective over the last three years. We have finalized a comprehensive infield drill program. We’ve designed it really to deliver a final mine plant, final economic reserve and mine life. And because of the magnitude of the information that we just derived from this recent effort, we even further refined the cost of that drilling to just a little over $2.5 million with probably about $400,000 to $500,000, sufficient to enable of the commencement of the permitting that we would need with some of that other infield drilling activity put out later without any negative implications. So just in summary, with the developments, tremendous excitement, real-time with Lucerne, substantive development real-time with Dayton, and we’re marching them forward here in 2016. I’ll give you some timeframes and the outlook. Before I do that, number five, I wanted to just turn to some valuation thoughts. And I guess, none of us will be doing our jobs, if we didn’t have some feeling of being undervalued. I mean in the gold equity sector that’s not difficult to do these days. We are at absolute historic lows in terms of gold equity valuations. But better said maybe, if we weren’t working hard to create, unlock and deliver these higher values. And when we consider the state of the world and monetary policy, and frankly the difficulty in predicting the timing of some of these seemingly inevitable events, we believe it’s critical that we safely and methodically continue to build fundamental and intrinsic value for our company. And we say that with the landscape, not doing very much of it, exploration, drilling and development are all-time lows. New reserves being established are at all-time lows. We are in a depletion mode as an industry. And it’s not so common to be moving projects forward possibly the way that we’re trying to do. For us it all starts with our mining claims. We have over 8,500 acres of land with private and public mine claims that are contiguous, properly master-planned, zoned and permitted for their primary use. But we’ve also zoned them for mixed uses. We all know - we know now that we’ve been able to eliminate or reduce to a very low amount any royalty burden. And it’s all in the best, if not, one of the best mining jurisdictions in the world. So for us the only question that remains from a mining perspective is and it’s the only thing I think that we’re really fully focused on right now, is how can we extract these minerals profitably, how much of them are there and when. And that’s all that we’re doing right now with Lucerne and Dayton. We do have to ask for a little patience, because we can’t communicate what we don’t yet know, but we certainly can communicate as soon as we know which is what we’re trying to do with these drill intercepts and these developments. But when you think about it in the real context, Lucerne and Dayton, they only make up about one mile of the six-mile contiguous mineralized strike that we own. And not to mention, that in almost every resource area that we have, we are open on most sites, meaning, there is known structural trends that can extend the mineralization. And in almost every case we’re open at depth. It’s interesting that from a mineral resource perspective, none of that is allowed to be recorded on our balance sheet. So our balance sheet doesn’t have any asset, if you will, for gold and silver inventories outside, maybe the actual 1,500 ounces or so that are sitting in the leach pad and in the pond. Any invents in the ground is not recognized. Lucerne and Dayton, really if you combine them with our processing areas, let’s say, the areas under active development or active operation, it’s only about 300 acres of our total property position. It’s relatively small. Northern Nevada and especially its 50 mile radius around Reno-Tahoe industrial complex, where literally billions of dollars are being invested today, and tens of billions of investments are scheduled over the next two to three years with companies like Tesla, Switch, eBay, Walmart, et cetera. I’m not even counting on that tens of billions, the construction of the USA Parkway, which will connect the Reno-Tahoe corridor with the Carson, Silver Spring Comstock corridor. And once that’s done, the entire quadrant will be connected. We’re already seeing property values move up. We are in Northern Nevada, but we are not in Elko or Winnemucca, where most of our mining peers would be situated. We are in the Reno-Tahoe Carson quadrant. And we’ve seen property values here move from - 10, 12 years ago they were very cheap; but even in the more recent past, going from like $5,000 an acre to $8,000 an acre. And now, we have comps, and we have to take these in the right context, but $20,000 an acre, $30,000 an acre. We’ve seen mixed-use properties. We’re well-positioned to access properties, go up to $100,000 per acre. And it depends on the zoning and the water rights and the access. But we are sitting in the best central location for all of that. When the USA Parkway is really connected all of these areas will become, I would say, more vibrantly connected. So there are comps moving up on acreages of land. Just as fast, if not, maybe faster. The comps are moving up for water rights and sewer rights. So to be in a position with the right properties, with the right zoning, with water rights, with permits, it is a tremendous foundation. I don’t want to overplay that, right, but it’s relevant. And when I was sitting there, looking and staring at our balance sheet here as the auditors were wrapping up last week, we have another unrecorded asset on our balance sheet. We have about $50 million of deferred tax assets, almost or substantially all of it is simple net operating losses from 14-year exploration history that are also alive and fresh, that we will be able to realize as we establish longer histories of profitability and actually start using those assets to shelter future taxes. I mean, I certainly can’t fathom paying future - seeing myself pay future federal taxes with that magnitude of asset. But we are working hard to realize all of these assets, be it the minerals, the lands, the economic booms, the tax sheltering, all of it, because we’ve always thought about the company from a longer term perspective. We’re building a solid asset. When I turn to the last item, and then we’ll move to questions, it’s just the outlook. This newly completed tunnel, which was done on-time and on-budget, is really designed to conduct the underground exploration program directed at these series of targets. We are becoming fond with the nomenclature, the PQ, the Succor and the historic Woodville Bonanza. I tried to depict these or this - call it, geological corridor, graphically in some of the last few press releases to help better put some of those geological, technical language into plainer English. And we’ll continue to try to do that. We even put the graphics in the 10-K this time. But ultimately, these efforts are designed to develop mine plans with sufficient grading quantities for longer life production safely, so that we can plan for the Lucerne mine. As we discussed, the results from the PQ drilling have begun yielding wider and longer greater intercepts. These results will be released over the next two, three, four weeks, real-time potentially every week, as we can expect certainly more in the upcoming weeks. They’re being analyzed now. And note, we should be done drilling in Bay Six in about eight or nine, maybe 10 days. We’ll be analyzing that data through the end of February. That data will be communicated. By the middle of March, we should have a strong solid analysis of what those grades translate to into ore bodies and what their potential contribution is towards mineral reserves and the mine plan. We believe, they will contribute, but how much. What’s really been a break through for us is that the Succor vein system, which is somewhat perpendicular to the PQ we were able to get access to. We’re literally also about eight or nine days of finishing a second drift from the first one into the Succor. We’re calling it a crosscut that will allow us to commence geological sampling and limited Succor scope drilling, hopefully in March, right. And our view is that combining the Lucerne PQ with the Lucerne Succor gives us the absolute best potential for the next phase of mine plan. That’s where we’re spending money and that’s where we’re looking to develop. We’re pacing it very intelligently, meaning that we were trying to understand things as best as we can before we do them. And I can tell you that we’re all hands on in doing that. During the second quarter, we could also commence some Woodville scope drilling for the same exact purpose. So we would - we see this evolving real-time in front of us from this whole geological quarter. In the second quarter, we also commenced some limited core drilling on the Dayton. I mentioned earlier, it would only be about $400,000 to $500,000 of core drilling. That will give us the parameters of a mine plan that will be more than sufficient to commence the drilling. There are two types of drilling, one is - I’m sorry, there are two types of permitting, that’s what I meant to say. One is the local permitting, required to actually put the mine into production. The other is in permitting for access to ensure that the Dayton can access our central processing facilities. And that might take a little bit longer. But these drilling and data will allow us to commence those activities. Production for 2013 is currently limited to processing of the existing leach pad materials and limited stacking of new materials, now may be over January and February. We’re really trying to wrap that up completely, because we finished the road realignment. We have some materials that we’re either putting up on the leach pad or stockpiling around the leach pad. But with the improved estimates, as I mentioned, this will continue likely through May, if not, further. The biggest effort on the outlook is the continued realignment of the organization to be built to do both exploration, drilling, and ultimately prepare for production. By having partners and by converting most of our cost to variable, we can do it very, very safely. As I mentioned, bringing the organization down to 20 people, but also having third-party contracting is a variable cost to use, only when and if we need them. So we’ll report all of those results as it becomes available through the first two quarters of this year. I’ll just conclude by saying that, the industry is experiencing difficult downturn with many participants shutting down or deferring their project activities; some cases is because the projects don’t warrant it, some cases is because they mismanage themselves to not be able to do those things. But regardless, exploration is down dramatically industry-wide and new discoveries are becoming extremely scarce, if not, non-existent in the recent few years. We’ve led in both reducing and transitioning our cost, and extending those exploration activities. We firmly believe that those exploration development activities and establishing those reserves for future production is what’s going to drive the value for our investors. And we know that it’s not linear, sometimes it’s lumpy, but we feel that we’re really on the right track for that. We’ve not been active in doing too many other things, but we are getting some significant increase of our potential acquisitions. We tend to not pay attention to things that are outside Nevada or certainly outside this western corridor. But some of these projects are tremendous. And with evaluations where they are, they’re extremely attractive. We’ll probably put some limited attention in some of these activities as we move forward. But really, we’re fundamentally looking to positively leverage our existing lands, our existing brand, and the core competencies that we have for mining. That’s really the outlook in focus for 2016. So, Valerie, little bit long and I wanted to, but I’m through it; so if we can move to questions, that would be wonderful.
Operator: Thank you. [Operator Instructions] We’ll pause for just a moment to allow everyone an opportunity to signal for a question. Please stand by. Thank you. And we’ll move to our first question. And our first question will come from Heiko Ihle. Please go ahead.
Heiko Ihle: Hey, can you hear me all right?
Corrado De Gasperis: Yes, Heiko, I can hear you clearly. How are you?
Heiko Ihle: Excellent. How are you so [ph], Corrado? Good to hear from you.
Corrado De Gasperis: Doing good.
Heiko Ihle: So you are currently limiting production at the site to the existing leach pad as per your release and with the little bit stacking and all that. Just can you walk me through the cash flow and expenditure estimates through that, through the next couple of months, just given the little bit of ops at those sites? And can you quantify the impact around the payroll. I know you mentioned there was only 25 people. Do guys simply just do other jobs or what exactly happens? Are there severance expenses, that kind of stuff? Thank you.
Corrado De Gasperis: Yes, so, we - yes, absolutely. That’s fine. It’s really all been methodical and phased in, not dramatic at all. In terms of - we had very specific intermediate objectives and we were communicative if possible around all that internally. But just as an example, completing the first phase of the road resulted in a significant reduction of surface mining personnel. Completing the second phase of the road reduced the mining staff to literally six heavy equipment operators. And then, they transitioned to supporting American Mining & Tunneling for the underground drift development and related activities associated with that. Most of the material that we were taking in the last six months was loose material. It needed to be crushed and agglomerated, but it did not need to be blasted. So we had reductions in staff associated with that. Then, once we process it all, we had reductions in our depression level. But at the same time, we were also assessing our people and identifying people, not only who have the most flexible skills, but also to be cross-trained. So we literally have employees now that are driving trucks, could operate agglomeration and working in the Merrill-Crowe processing facility depending on what the need is. So in terms of the severances, it’s very modest and it’s over - it’s all been over a longer period of time. Today, there probably sitting at about 33 people with a shift down to ultimately about 17 or 18 happening, most of those people already communicated to. So to answer your question, right, the revenue from the processing well covers any of the activity, because most of the cost for mining are heavily front-end loaded with mine crushing, extracting, blasting, hauling, right? Most of those activities are very light for us, right now. We do have those same crews working on reclamation. And I mentioned earlier, some of that activity is done real time and that reduces our bonding requirements and frees up more capacity as we go forward. Our corporate cost; which have averaged about $5 million to $6 million and that’s everything including public company listing fees, auditors, employees; we’re targeting to be less than $2 million, right? So most of the actions have either been identified are already taken. And so, from our perspective, net use of capital for the year, all-in would be $6 million or $7 million, right, which we believe we have the liquidity to manage through. And that it includes servicing some of the land payments that we purchased et cetera. The equipment financing, which is the most significant of our existing liabilities is tied to that equipment. And for example, 85% of the equipment will be sold, because it’s sort of surface mining specific. And Caterpillar has already agreed to put a stay on payments until the equipment is sold, because we’ve been fully under their maintenance program, and they have records and detail on all the equipment that we own. So it’s not minor. The transition is meaningful. But we plan so much in advance that it’s very happening here in due course for us. I know that it has a meaningful impact in what financial statements look like for 2016, because we’re shifting from a full production mode to an exploration and development mode, ultimately bridging to production. And so the timing of that really depends of the pace at which we can finish this drilling, finish this assessment and make all the right conclusions. In terms of transitioning to the underground, ultimately, philosophically, you like to control your whole system. But our experience with American Mining & Tunneling to-date has been so outstanding. We really can’t imagine, at a minimum, the first phases of production being with a partner, right. And that means they bring the capital, they bring the equipment and it’s really a variable cost.
Heiko Ihle: Right, right.
Corrado De Gasperis: So we probably would have to talk offline a little bit to highlight some of those specifics within the context of what we disclose, but we can do that.
Heiko Ihle: Sure, give me any time. I’m around the rest of the day. Just one more question. You had a sentence in the release regarding land values. And I assume always been a long bull on the evaluations that you guys have had with the land. You state that the, and it is your call, non-mining land values for some comparable transaction suggest, high and increasing values, even rivaling the equity of our mining claims. To the best of my knowledge, you were under the - under some options to purchase additional land.
Corrado De Gasperis: Yes.
Heiko Ihle: Is it fair to say that these options will therefore be exercised? And can you walk me just through the balance sheet impact to that? Thank you.
Corrado De Gasperis: Yes. Excellent question, Heiko. Heavy one, but excellent. Okay. So let me explain very preciously, because…
Heiko Ihle: Not supposed to be easy, Corrado.
Corrado De Gasperis: No, no, no, it’s good. Our chairman has always had - our chairman - our largest investors, John Winfield, not our Chairman anymore. But he always had a strong view that the fundamental land value in this particular part of Northern Nevada could be very valuable. I never rejected the notion, but quite frankly, I never focused on it too much either, because it was very - I would call it, speculative, right, ten years ago, eight years ago, five years ago. But I am witnessing full frontal in my face, the inflow of business, the inflow of people. The boom that’s happening in Reno especially and how it’s starting to migrate out to the quadrant. And we’re starting to see comps. So it’s very important for me to say that when you look at our 2,300 acres of private land. And to your point, potentially 1,500 to 2,000 acres of land under option, I can’t say that every parcel would be valued at $20,000 or $30,000 an acre. There is clearly parcels that would be valued $50,000, $60,000, $70,000 plus an acre. There is some that maybe you get $8,000 to $10,000 depending on where they are, water rights, et cetera. But when you put it all together, I mean the numbers could add up very quickly to $40 million, $50 million even $60 million. And I am not sitting here suggesting, we’re going to have a land sales of those kind of values, and I don’t either want to be maverick in exaggerating it, but it’s all contiguous. Most of the land that’s on the periphery is in developable above major spaces, like 400 acres in American Labs, 230 acre ranch right on Highway 50. I mean, these are not five acre mine claims jammed in the mile, right? It’s flat developable land. And most of our land is zoned, real residential, which means you can use it for both development and for mining purposes. So there is something evolving here, that I wanted to put on people’s radar screens. I think it’s going to evolve positively. I don’t want to overstate it today. But there is a fundamental intrinsic value. And to your point, there are some options that could be worth millions of dollars. And quite frankly, some of the land that we bought even in the last two years, we see that there is almost a doubling of value already, like there were $2 billion properties with $4 million. So it’s very tangible to me. It hasn’t been my number one focus. But I’ve been getting a lot of increase about it. I think it’s because of Tesla. Tesla creased so much hype, but when people peel the onion back on Tesla, they realized it’s one of 100 companies that are flowing into the industrial park. It’s not a one-hit wonder. So it’s really tremendous thing. And most of the political discussion around here is how they handle it. Otherwise, let me use water rights as an example. When I first started six years ago, someone was selling us some water rights for like $1,000 an acre foot. And they were promoting to me that, they had been worth $18,000 an acre foot. Today, water rights are pushing $10,000 an acre foot, if you can even get them, right? And then, I don’t doubt that with airports and these buildings start to come up that those numbers are going to move up as well.
Heiko Ihle: Very fair, very fair. Excellent. Well, thank you so much. I’ll stop hogging the queue here. Thank you, guys, and congratulations.
Corrado De Gasperis: Thank you, Heiko. We look forward to talking tomorrow. Thanks. Bye-bye.
Operator: Thank you. We move to our next question from [Barry Kasakov of Havis Hilton Capital] [ph]. Please go ahead.
Unidentified Analyst: Hey, Corrado.
Corrado De Gasperis: Hey, Barry. How are you?
Unidentified Analyst: I’m doing well. Listen, thank you for the color around land valuation. I think it’s very helpful to get sort of an idea of what’s going on in that area. So the question I have is, I know that you probably has been really hard to reduce your cost, your mining, your production, your administrative. Where are your cost, your all-in cost, right now? Is it around $22 million? And by the end of 2016, can you give us an idea where you think those costs will be?
Corrado De Gasperis: Yes. So $22 million was the reflection of sort of the full production mode of the Lucerne surface mine, if you will, right?
Unidentified Analyst: Right.
Corrado De Gasperis: So let me transition that, right, we went from - I’m thinking now - yes, we went from 2013 or 2014 down to that $22 million number. From 2014 to 2015 we were running closer to, I would say, $14 million to $15 million number, right? And I think that’s sort of the - that’s sort of would be reflective of what we were able to achieve. We actually did lower than that, but some of that lower than was the resulting of improving yields, which is sustainable. And maybe some lower volumes, which is not a sustainable number. So if you put it in context, I certainly believe $12.5 million to $13.5 million sort of number for that kind of activity is sustainable for us. That’s most relevant, right. As we think about transitioning to the Dayton mine, right, because the activities around the Dayton mine will absolutely replicate what we just said with two exceptions - well, I’m sorry, three exceptions. Much higher grade, expected better metallurgical yield from all the column testing we did between the two areas, Lucerne and Dayton. And a little bit longer of a haulage rate, right. So I believe that the Dayton will ultimately perform at or better than what we were able to deliver. If you are thinking in terms of per ounce, we were able to get down to below $650 an ounce and below $1,000 all-in, the Dayton numbers would be better than that, okay. The underground, you’re in a transition, right, we are - there is a meaningful variation in mining methods. So, when we are looking at the Succor, for example, which has a very, very long strike, thinner width and a dip angle that really could allow for long haul stoping. And I’m not going to get too technical here. But I’ll give you a contrast. I mean, you could be mining those materials less than $30 a ton. In the PQ, we have more of a mass and some formal workings that are a little sticky to like work around, even though we’ll be happy to with the grades that we’re starting to see. You could be looking at mining methods that are over $70 a ton. So until I’m able to quantify those tons and grades, and until I am able to quantify them sort of together, I won’t be able to get a predictable average out to. Now, it’s important that every step of the way we are assessing economic feasibility. It’s not possible to fully assess it until you have all of the data. But there are certainly indicators that will knock you out of the box. If we hit those indicators we’re not going to keep drilling. We’re going to step back and look at the third target or the fourth target. So far we are moving forward, right. So that means that all the assessments that we are doing, the scoping, the terms in the industry are economic scoping or prefeasibility, we are doing that level of detail work. So we have cost from bolts to shot-free [ph] to tunneling to mining to backfilling, fully built. But some of them are still assumptions until we can get the data more properly drilled out. I know it’s not - it doesn’t sound great in terms of a production company talking about guidance. But it’s actually very specific in robust in the context of an exploration company moving into production. I even say…
Unidentified Analyst: Right. Now, I - I get that. I guess, let me just focus on one part. You mentioned just few minutes ago about your corporate costs, following from - to above $5 million to $6 million and you feel that that has a chance to continue to go lower. So in your - if you were to break out your all-in cost and just look at your operational costs, exiting 2016, where do you see your operational cost segment?
Corrado De Gasperis: You mean in terms of the run rate of cost?
Unidentified Analyst: Yes.
Corrado De Gasperis: Yes. So it’s extremely low, Barry, because essentially three quarters of the operation is not operating, right. So we are not extracting, we are not hauling, we are not crushing. But we are fully leaching and processing and pouring, right, which is the smallest component of the part. So if you were looking at the 15 - I’m sorry, the $13 million to $14 million that we were just talking about. I mean, you’re only going to be spending like 20% of that number. It’s very small. So the revenue will flow positive off of sort of a tail, if you want to think of it that way. The corporate cost, and I want to be specific with this too, what we built took land acquisition, land negotiation more importantly community development, political development. We had to deal with environmental studies. I mean, we had to deal with title claims and discrepancies like Lot 51. We really have to build a corporate organization frankly that could handle all of that complexity. And I don’t want to say a hostile, but certainly a controversial environment. Most of that is stabilized now, right. And so, we don’t really - we’ve been peeling back those activities just as well. So for us it gets down to the core of financial organization, the administrative organization and just maintaining the capital structure with the public company, right. And we’re looking at ways to do that as thinly as possible. I think even if we weren’t transitioning out of production and into a new phase, junior miners can’tsurvive with $5 million to $6 million of overhead and be public. I’ve concluded that about a year and a half ago, it’s ridiculous.
Unidentified Analyst: Got it. Okay. Well, thanks a lot.
Corrado De Gasperis: Thanks, Barry.
Operator: Thank you. We will now move to our next question from Marco Rodriguez of Stonegate Capital Markets. Please go ahead.
Marco Rodriguez: Good morning, Corrado. Thanks for taking my questions.
Corrado De Gasperis: Anytime, Marco. How are you?
Marco Rodriguez: Doing well. Thanks. And yourself?
Corrado De Gasperis: Fine. Thank you.
Marco Rodriguez: I was wondering if we could spend a little bit more time just trying to clarify production for fiscal 2016. Obviously, in Q4 you mined a total of let’s just call it 18,000 tons of material. I’m just trying to understand with what your plans are and where you are expecting things to move into fiscal 2016, and then, obviously, transitioning. What should we be expecting as far as a run rate on a quarterly basis?
Corrado De Gasperis: Okay. So thank you for that question. I will be more specific, then I should have probably given a little bit of that more earlier. So we - the last half of 2015 was sort of a combination of trying to finish all of the ventures that we identified and the mine plan for Lucerne, that weren’t otherwise blocked by the road and/or the underground development activity. And so, in essence, a big part of the eastern mine plan really was re-categorized for the underground. So we did that. I think we really did substantially all of that bulk by the end of the second quarter where we were hastily moving into the alignment of the road, the realignment of the road did open up and give us access back to some of that material plus tonnages associated with old mine dumps that were trapped under and alongside the road. We were able to access all that material, which really not only added to the leach pad production, but it really killed an infrastructural and environmental obligations all in one shot. So that’s why the second-half of the year looked odder. We were fully working, but on a number of various things that we are all trying to converge on to ultimately a safe underground development. I think we synchronized the activities very well, but it clearly was different, okay, in a number of ways. The grades in that dumpster [ph] were a little lower, but there was no blasting and - drilling and blasting needed for it, but there was construction associated with moving the road blah, blah, blah. So we were able to quantify most of the dedicated road activities to about something just under $3 million. We put that separately on the P&L because those dollars are one time and are not repeating or recurring at all. Now, that translated to, we didn’t stack as much material as we were expecting initially in the fourth quarter. But we got better yield as we were seeing the maturities in the yield curves than we thought. It’s a little bit embarrassing, but at Q3 we thought we had a 1,000 ounces stacked on the pad and we delivered almost 3,000 during the quarter, 2900 plus gold equivalent. And we still have about 1500 in inventory and I think that number will creep up as we continue to reach out the cycle. So that’s good news. It was good news for us. It helps transition us. But to your point, there is tons, there is mine dump tons maybe 30,000, 40,000. There is also ultimately some sample tons coming out from the underground that we can start to put on the pad. But I really think for the first-half of this year, it’s almost inconsequential. It adds to the 1,500 to 2,000 ounces that will ultimately pour out here. Our total focus is developing the underground and developing the Dayton [ph] and to put those into production. I can’t give you dates, but I can give you some context, okay. First of all, we think now and this is new, right. We think now - we don’t know actually, right, but to be more balanced, we think now that the PQ contributions to the mine plant will be interesting, I think it will be good, but they probably won’t be sufficient on their own. We think that the PQ and the Succor would be. So, that extends the development cycle from late February early March conclusion, which the PQ will be done by to something more like July or August, right, end of the second quarter beginning of the third quarter, right. So then in addition to that, we don’t see a scenario where we would start out at 250 tons or 500 tons per day. It could be economically feasible, but as we look at the optimization models getting to 750 tons a day and closer to a 1,000 tons a day even with the initial start is really what we would like to target. So you’re targeting that kind of tonnage. You’re going to be not a 20,000 ounce producer. You’re going to be a 40,000, 50,000, potentially 60,000 ounce producer as you do. I just can’t - I can’t nail those stuff down until we get the drilling and the analysis completed. So I’m going to have to be much more communicative about what the results are, what they mean and how they translate into that stuff, but only at the pace that I’m able to. But if this is an answer to your question, the target is the second-half of the year for rates that are 2 to 2.5 times of what we had been doing historically. And then, it will depend on the mix of those possible mine plans between certain types of mining methods to nail down the ultimate cost. But I can tell you that when we’re producing at those higher rates of production, especially with our lean system and its important to highlight, because it shouldn’t be taken for granted. All of our development today is, of course, with rock types, with metallurgies that are consistent with what we’ve been experiencing and would leverage our existing system. But we’re not talking about building a mill or changing the infrastructure, right. It plays right into our existing system.
Marco Rodriguez: Got it. Okay. And a last quick question, Corrado, if I might. I was wondering If you could kind of help me understand your cash flow expectations and cash expectations into fiscal 2016. What are you expecting from a cash flow from operations perspective? What sort of CapEx are you looking to spend? And if you can quantify the equipment sales, what would you expect to obtain from them?
Corrado De Gasperis: So let me start at the end and move upwards. From the equipment sales we have about $5.5 million to $6 million of equipment that will be sold. I believe that it will certainly cover the obligations on that and it will be above their book values. Proceeds from that, I’m not necessarily counting on too much. Although, it’s interesting all the equipments that we sold so far is into the construction industry and not the mining industry, which sort of reinforces of what was happening up here in Northern Nevada a little bit. In terms of - let’s talk sources and uses, just for a second. In our current reality, we’re managing cash flow very predictably, cash flows in, cash flows out every week. And most of the heaviest drilling is completed, right. So most of our efforts over the next two to three months is internal geological development, get the assay back, getting cross-sections, build the grades shelves, build the block model, right. So we are doing that substantially all with internal resources, which is excellent. And the scope drilling that I mentioned for Succor and the Woodville is in the hundreds of thousands, a couple of hundred thousand will scope out Succor, couple of hundred thousand will scope out Woodville. And then, if you even include the development drilling, assume all things are go, right, our view of uses of capital is somewhere between $6 million, which is all normal routine and the internal and light developments I just mentioned. And upwards to $10 million, if were in heavy with the Dayton and the Succor, in terms of infield drilling and finalization. So within our existing capital resources and our facilities, we can manage that effectively. And right now the constraint is our internal ability to assess all the data. So we are not in - in the moment, we are not in a heavy spending mode. We are in an internal assessment and analysis mode, and I just keep - just keep tweaking the organization to be right size and competency for doing that work. So I’m giving it you, big picture, now little picture, I think similar to Heiko, if you want to break it down a little bit, we can do it offline within the context of what we disclosed. I’m happy to do that.
Marco Rodriguez: Got it. I appreciate it, Corrado. Thanks a lot.
Corrado De Gasperis: All right. Thanks, Marco.
Operator: Thank you. We’ll move to our next question from Ken Fine, [ph] private investor. Please go ahead.
Unidentified Analyst: Hello. Hi.
Corrado De Gasperis: Hi, Ken. How are you?
Unidentified Analyst: I’m okay. I tried to right down some of the numbers you were mentioning before, I hope I got at least some of them right. My first question, roughly, how many of the total acres that Comstock owns are currently used for mining operations?
Corrado De Gasperis: About 300, and it’s actually split about to 150 for mining and 150 for processing.
Unidentified Analyst: That’s all I needed to know. That sounds to me that you have over 8,000 acres that are not in any way used for mining.
Corrado De Gasperis: So that’s currently, that’s correct.
Unidentified Analyst: Okay. At the valuation you through around before, the unused land is worth more than the company as a whole.
Corrado De Gasperis: Yes. The only…
Unidentified Analyst: Stock was trading a few minutes ago at $0.43.
Corrado De Gasperis: Yes.
Unidentified Analyst: That’s the market cap is about $65.5 million. This is total non-sense. I mean, it says that the mining operations are valued at nothing.
Corrado De Gasperis: Right. So can I make two points to that. One…
Unidentified Analyst: Well, please do.
Corrado De Gasperis: One, it’s a very valid thesis. And the only distinction I would make is that of the 8,500 acres, about 2,250, even with options and related let say it’s rounded up to 2,500 is private land. And so I was comping the 20,000 or 30,000 acre number to the private land only. It still meets your point. It still meets your point. The public land have value that people would buy, but it’s different and less - it’s a less liquid, less saleable notion, right? I’m almost certain if we were selling our public lands that we fully control and have mineral rights over, it would not certainly, but most likely be the miner, right. But that’s still the value, right? So when we think about it, at least focusing on the private land, I think it is a missed value. I think it’s an under - what I - personally I haven’t marketed at all very well either, because I always believed in it, but felt it was a little speculative. I just can’t ignore the comps and the economic activity that’s happening here today. It’s real. And couple it with the fact that gold equities are at, I want to say like 30 years or 40 years lows, but I can’t go far back and often find comps that where we were valued this low relative to our resources. It’s not a favorite sector right now. I feel like and I hope like it’s starting to turn. But we’ve searched forward. Our attitude is low cost is our best hedge against the gold price. But one last point, we also just inventoried all of our non-mining real estate, and we’ve created a different segment in our reporting for that, so that people can see it better and understand it better. And it’s important to say, since the beginning of 2015, when we leased out a - we also own a hotel with a number of positives - when we leased the hotel out to a proprietor, all of our real estate assets in total, separately and standalone are cash positive. The rental incomes from the property, even though a lot of it is just free land, the rental income from the properties cover the expenses. So we’re step up I think safely, but there is an intrinsic value there that’s not recognized in my opinion for sure.
Unidentified Analyst: Yes. I couldn’t agree more with you. I mean, you’re first and foremost a mining company and it just absolutely shocked me that the value of your non-mining-operations are worth more than the entire company. I hope you can do something to get back to a more realistic valuation.
Corrado De Gasperis: I do believe that the establishment of reserves and the establishment of valid production plans will unlock that. I also believe, we’re getting request to purchase some of our land. So we can do more than just get comps here, proving out some of the values. So I think it will develop, but I’ll be more focused on it, I definitely will.
Unidentified Analyst: Thank you very much.
Corrado De Gasperis: Thank you, sir.
Operator: Thank you. We will move to our next question from James Dell [ph], private investor. Please go ahead.
Unidentified Analyst: Hey, Corrado. How are you doing?
Corrado De Gasperis: Hey, I’m fine. How are you?
Unidentified Analyst: Good. Hey, most of my questions have already been asked. One question I do have that’s still remaining, and maybe one time into this, as to the comment is basically, as the land value increases around you, you may get different source of real estate pressures than you had with the Comstock Residents Association. So developers and so forth wanting to give up your mineral - I mean, your water and sewer rights and what. But - and please don’t sell for $0.43 here, because most of your investors have got a lot more per share into this company. So next, do you perceive or when do you could see transitioning into - away from the subcontracted drilling and the underground mining to in-house?
Corrado De Gasperis: Well, okay, so let me - two good points. First, well, on your first point, all of our property, except for some of the recent options is contiguous. And generally, we bought it with the purpose of either thinking it was a good buffer to our properties or could add some potential expanded mineral possibilities or it traded more support for what we are trying to accomplish over all. I don’t - we would not sell a property to regress that, right. So I think our whole reception in the community and the both social and political arena, is so much more positive now. There’s less of a risk of that. So I think that’s okay. And we’d be thoughtful about it. Thank you for the comment. In terms of the transition, we’ve built all of our models as if we were going to do it ourselves. Frankly, I don’t know how you can manage a contract or if you didn’t have intimate knowledge of how you would do it yourself. So we have internal engineers and we are building up our models. We use our contractors certainly to bounce thoughts off of and try to improve it. But we do it that, so - well, having said that, I don’t think - I can’t imagine that we wouldn’t be using a third party for a while. And, I mean, that could be multi-year. And I really don’t have an answer to the question. It really depends on how effective, how efficient. In one regard, it sometimes will cost you a little. It will cost you a little bit more to use the contractor. But the amount of capital that you avoid upfront, it’s just tremendous and I can’t make the return models work as good, in most any scenario, if you’re using a good contractor. If you are using a bad contractor, it’s a whole different discussion. So I think we’ll be biased to using them longer, if that a good answer for now, and then we’ll see how it goes.
Unidentified Analyst: Well, it’s a good answer. Okay, just keep up the good work. Thank you very much for taking the call.
Corrado De Gasperis: Thanks, James.
Operator: Thank you. And we’ll move to our next question from Arnold Van Den Berg from Century Management. Please go ahead.
Arnold Van Den Berg: Hello, Corrado.
Corrado De Gasperis: Hello, Arnold. How are you?
Arnold Van Den Berg: I want to follow-up on, but I don’t want to belabor this land thing, but I’d like to get a clearer picture. This [indiscernible] ask some good questions about the land. So basically you’ve got down to where you only need 300 for the mining operation, which means you got about 8,000 plus acres, and you define them as public and private. And there were numbers of 20,000 to 30,000 an acre, but can you breakdown how much is public and private and what the going rate for both of those, so we can get kind of a rough ballpark as quite fast - but the land really is worth?
Corrado De Gasperis: Yes. So let’s start with private - I’m going to just here use round numbers because it’s easier. Let’s say 2,300 acres of private land and subtract 300 acres that we’re currently using, right, and that’s the key distinction that we’re currently using always 2,000 acres of private land. It’s very well situated in three pockets of areas that ultimately could all be developable. And so I feel good about those and when I look at the comps, I think we’re picking the lower end. So if we say 20,000 or 30,000 so in and itself 2,000 acres times $30,000 could be $60 million, right. So I feel most comfortable about that conversation, when you go to the other 6,000 or 6,500 acres of unpatented land, its technically public land that we have 100% of the mining claims, meaning we control all of the mineral rights. We see in the state various I mean, it’s not incumbent at all that unpatented mining claims change hand, meaning one party sell them to the other party, but the range varies significantly and it generally have something to do with their intend of mining. So we could say 1,000, 5,000, 10,000 and more, but I don’t - it’s a very wide range I personally believe that’s a high number for us, because we control such a large continuous block within a known mineralized district. I’ve done less work on that I feel comfortable in the making of statement that the value of our private land could equal our market gap. I certainly feel comfortable to say that the non-private land add to that, I just don’t yet know the right number to pin on it, but it would be higher than most, because of where we are.
Arnold Van Den Berg: But can you just give me kind of a ballpark like you’re saying 20,000 to 30,000 per acre for the private. So what was the public, what are the ranges of the public land that you know of without making a commitment to just give us a range?
Corrado De Gasperis: Okay. So, I think - well, I think the range would be higher and I think that - like saying like - but that would be higher, but I’m sure there is example like prices like 2 to 10, right. But I’m sure there is example above that, I’m sure there is example below because there is so much of variation. But again, you see these unpatented mining claims change hands like real small pockets of them; 6,000 continue, it’s consolidated, it’s going to push you up higher on the range. So it really puts the - it’s such a big number of acres that really adds a lot of value. So I didn’t say two, I didn’t say 10, I’m sort of giving you a range, but I think that whatever that range is, we’re higher. We’re at the higher…
Arnold Van Den Berg: Higher than what, the 10 or the 2?
Corrado De Gasperis: No, I’m saying we would be at the higher end of what the range is. So I guess something closer to 10, but I’ll tell you right now if somebody offers me 10 per acre for all of that, I wouldn’t sell it. So that’s the market comp for you right there.
Arnold Van Den Berg: Okay. So, let’s just say 5,000 an acre that would be another $30 million right?
Corrado De Gasperis: Okay.
Arnold Van Den Berg: So if you take the 2,000 for 30,000 an acre that’s $60 million and if you do conservatively 5,000 for the 6,000 you get a total of $60 million - I’m sorry, a total of $90 million.
Corrado De Gasperis: Right.
Arnold Van Den Berg: So that’s the point that we can’t figure out. I mean, you’ve got the mining operation that’s worth X and you’ve got the stock selling at $0.42 and here you have potentially $90 million which is more than 50% higher than the price of the stock, so basically the gold operation that has no value according to the market?
Corrado De Gasperis: Right. And that to me - I understand that right now in our sector in the resource sector, if you will, the sentiment is so negative, it’s like a show me attitude, right. And so I think you’re right, I think people aren’t valuing it at all until you prove and show it, right. And I think we’re different than most other mining property positions, because often, more often or not, most often they’re only valued with the minerals, right. They have a sole purpose if you want that mining you would want it anyway, right. And that’s where I have to make it, I have to do a better job to explain the people those estimation that we reside in and its proximity to all of this activity and what it’s meaning in real terms today for property value and I’m going to - it’s nothing else these conversation make it certainly clear to me that our investors want to know and that there is a dislocation and we need to fix it.
Arnold Van Den Berg: One more question. Would you consider selling since the value of the land is so high, would you consider selling that to fund the operation?
Corrado De Gasperis: There is land value that are moving up, that are I would say sail above that would not negatively impact the operation and if those opportunities were in front of us we would absolutely consider, yes.
Arnold Van Den Berg: Okay. Thank you very much.
Corrado De Gasperis: Thanks, Arnold.
Operator: Thank you. We’ll move to our next question from Barry Kitt of Pinnacle Fund. Please go ahead.
Barry Kitt: Hello, Corrado. How are you doing?
Corrado De Gasperis: Barry, I’m fine. How are you?
Barry Kitt: Okay. So you come to common stock in July 2010, join the global market, I think this is going to be easy, and that certainly has everything been easy. But you do tremendous job that I think very few people could have accomplished pointing all those things together that you have to make it, to get us where we are right now. So congratulations on that and thank you for that.
Corrado De Gasperis: Thank you.
Barry Kitt: As well pretty much almost every question I have is been asked and answered already. One quick question on the - and I have to talk about land again, and but I have one question. But what is the timing of the options explorations that you have on the land that you have options on?
Corrado De Gasperis: But we have three or four and none of them are very long, but most of them will go out to the end of 2017.
Barry Kitt: So how many of them are 2016 and roughly what’s the value that you have to pay or the price you have to pay to exercise that option that expires in 2016 roughly?
Corrado De Gasperis: We have two in 2016, one is $1.1 million of value, one is about $800,000 of value. There are two further on the periphery of 2017 that are actually further up the corridor that and those were purposely quick to 2017 to closer align them to the USA Parkway. The USA Parkway is scheduled to be finished in August of 2017, and we believe all of these lands will accrue value from that. Those are larger, because the land themselves is about $3.5 million, but there is water rights that are almost the same value right. So…
Barry Kitt: And is that a scripted [ph] purchase or is that included with the land?
Corrado De Gasperis: It would be included within and we wouldn’t want it any other way, right.
Barry Kitt: Okay. So sufficed to say, you’re going to exercise those options?
Corrado De Gasperis: Yes, because the land values are much higher.
Barry Kitt: All right. And so, between operations and selling, chemical-attractors [ph] and whatnot, will you have enough money to run the company and to fund the purchase of the land.
Corrado De Gasperis: We believe, so, yes.
Barry Kitt: Okay. All right. Well, that’s really all I have. I guess, the land you have options on, at this point, probably it’s not strategic relative to your mining operation. It’s just valuable relative to the value of the land. Would that be right?
Corrado De Gasperis: Yes. I would say so.
Barry Kitt: Okay, perfect. Well, thank you very much. I appreciate it, Corrado, great job.
Corrado De Gasperis: Thanks, Barry. Bye-bye.
Barry Kitt: Okay.
Operator: Thank you. And we’ll move to our next from Harvey Marker [ph], Private Investor. Please go ahead.
Unidentified Analyst: Hi, Corrado.
Corrado De Gasperis: Hi, Harvey. How are you?
Unidentified Analyst: Good. Back on the topic of the private land.
Corrado De Gasperis: Go ahead.
Unidentified Analyst: Is it owned free and clear?
Corrado De Gasperis: So the private lands that we have, there is about $2.02 million or $2.03 million of notes. They’re all like owner-financed, low gold, like 87 acres in the day and we owe about 500,000 as an example. There is a footnote that actually lists them out in our financials I don’t have now at my fingertips. But even though there is a couple of millions of obligations, they’re sort of scheduled out. And they’re with individual owners and their folks that have really granted us a lot of flexibility, as we’ve been trying to meet our other business objectives. So we have very close relationships with them. So…
Unidentified Analyst: So it’s in fact the land that’s privately owned.
Corrado De Gasperis: And had it appraised professionally, and took the 50% loan to value on that within the 5% to 6% interest rates, could you not go and start buying back shares at these low valuations?
Corrado De Gasperis: I believe the way that you just articulated the concept, we could get financing on the land, right. And then I haven’t pursued or about that as much to date. And then, the use of those proceeds, I guess, is a second question. But we certainly feel the shares are undervalued. I believe that one of the ways of unlocking that value, and then I believe that we have a clear path, is just proving out some of these very specific mineral reserves, and then, proving out some much more specific mine lives. Even though, we’ve been producing for three years, and I do feel good about the cost and performance that we’re ultimately able to establish. We really never had mine life in front of us. Right, and that’s important to the future of the company. It’s important to the stability of the operation. But ultimately it’s what I think a lot of our investors and new investors want to see in terms of giving value to those mineral claims. So anyway we’ll take that input very well. And we’re being very diligent at the board level to ensure that we’re deploying the capital at the right pace. We are doing it safely and we are not putting the broader asset at risk. So…
Unidentified Analyst: Yes, right now - right now, we’re down about 70% evaluation in the past year-and-a-half. I believe it was back in September 2014, we were at $1.43. So we’re down a $1 a share. And based on that, I think the board should really take into consideration the buyback situation. And I think financing of our land at 5% or 6% interest would be a very prudent method of doing it. And that would not in any way detract from the wonderful minerals that we have in the ground.
Corrado De Gasperis: Yes. So I take that very well. We will absolutely deliberate on that. And take the comp constructively and positively. So thank you for that. So I can’t answer any questions on it, obviously now, but we’ll…
Unidentified Analyst: Sure, last question, do we have a date yet for the annual meeting?
Corrado De Gasperis: We are targeting end of April. And we’re just trying to tweak it and get the reservations. Because we filed the 10-K quickly again this year, we have another opportunity to make it a little earlier. I said, the only debate is, wanting to make sure the weather will be good, but otherwise we can do it as early as like April 21 or something like that. But we’ll probably know that within the next week.
Unidentified Analyst: Great. Look forward to seeing you there.
Corrado De Gasperis: Thank you, sir.
Unidentified Analyst: Thanks.
Corrado De Gasperis: All right, guys.
Operator: Thank you, ladies and gentlemen. The time allotted for questions-and-answers has come to a close. I would now like to turn the call back over to Mr. De Gasperis for closing remarks.
Corrado De Gasperis: Just want to thank everybody for their interest and participation. And please look out for the continued reporting on intercepts and ultimately what it means to the mine plans and the future of the company. Thank you all.
Operator: Thank you. Ladies and gentlemen, this does concludes your conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.